Operator: Good day and welcome to the First Quarter 2022 Domino's Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder this call is being recorded. I would now like to turn the call over to Jenny Fouracre. You may begin.
Jenny Fouracre: Thank you for joining us today for our conversation regarding the results for the first quarter of 2022. Today's call will feature commentary from Chief Executive Officer, Ritch Allison; and from our new CFO, Sandeep Reddy; and incoming CEO, Russell Weiner. As this call is primarily for our investor audience, I ask that all members of the media and others be in listen-only mode. I want to remind everyone that the forward-looking statements in this morning's earnings release and 10-Q also apply to our comments on the call today. Both of those documents are available on our website. Actual results or trends could differ materially from our forecast. For more information please refer to the risk factors discussed in our filings with the SEC. In addition please refer to the earnings release to find disclosures and reconciliations of non-GAAP financial measures that may be referenced on today's call. Our request from our coverage analysts, we would like to accommodate as many of you as time permits. So we encourage you to ask only one part question on the call. Today's conference call is being webcast and is also being recorded for replay via our website. With that, I'd like to turn the call over to our CEO, Ritch Allison.
Ritch Allison: Thank you Jenny and thanks to all of you for joining us this morning. Before getting into the details of the first quarter, I would like to publicly welcome our new CFO, Sandeep Reddy to the Domino's leadership team. Sandeep officially joined us on April 1st and we are thrilled to have found such an accomplished finance leader. You will hear from Sandeep in a few minutes. You'll also hear from Russell Weiner on today's call. Russell will officially step into the CEO role three days from now on May 1st. With Russell and Sandeep in place alongside our outstanding leadership team I have enormous confidence in the future of this company and of our great brand. Let's now turn our attention to the first quarter. As you saw in our release this morning, Q1 was a challenging quarter particularly on the top line for our US business. We got off to a slow start in January due to the Omicron surge, which impacted our stores and supply chain centers, further limiting our capacity to serve customer demand particularly in the delivery channel. After a return to modestly positive US same-store sales in February, we turned negative again as we began to overlap the impact of the 2021 federal government stimulus in March and have continued to face that overlap in April. While we saw momentum continuing to build in Q1 in our US carryout business and in particular digital carryout, we are disappointed in our Q1 delivery results and still have a lot of work to do to restore growth in that important channel. I will also acknowledge that we are not satisfied with the sales or the margin performance in our corporate store business in the first quarter. Our team is fast at work on a comprehensive assessment and recovery plan to restore that business to the leadership role in our US system that we expected to play. Consistent with our communications during our prior earnings call, we faced significant inflationary cost increases across the business in Q1. Those cost pressures combined with the deleveraging from the decline in US same-store sales resulted in earnings falling short of our high expectations for the business. While the quarter was certainly challenged, we also saw the solid foundation of the Domino's brand and business model on display as evidenced by our robust global store growth that continues to demonstrate the strength of the Domino's operating model along with our franchisees' ongoing commitment to investing in growth. During the quarter, we reached another significant milestone with the opening of our 19,000th global store. We have action plans in place that are designed to address the issues in our US business as well as other initiatives that we are developing. But that work will take some time. And we believe that we will continue to face pressure both on the top line for our US business and on our bottom line earnings over the next few quarters. While we remain very optimistic about our ability to drive long-term profitable growth in the near-term 2022 is shaping up to be a challenging year. Now with that as a backdrop, I'll share a few additional observations on the US business, followed by a brief review of our international performance. We have completed our analysis of U.S. franchisee P&Ls from 2021 and are pleased to share that our average estimated 2021, US franchisee store level EBITDA came in at $174,000. With our strong four-wall economics we remain bullish on the long-term unit growth potential in the US. And we maintain our conviction that the US can be an 8,000-plus store market for Domino's. But we believe it may take some time to accelerate the pace of US store growth beyond the current four-quarter run rate, given some of the continued development, supply chain staffing and inflationary headwinds, we expect to continue to see in the quarters ahead. Staffing challenges continued during Q1 resulting in reduced operating hours and other service-related challenges in many stores across the US business. To give you a sense for the magnitude, when we add up all the lost operating hours during the first quarter, US stores were cumulatively closed the equivalent of almost six days across the entire US business. As I shared last quarter, we believe it is instructive to break our US stores into quintiles based on staffing levels relative to an essentially fully staffed store. When we compare sales performance across the quintiles in the first quarter, it gives us a sense for the magnitude of the impact that staffing continues to have on our US business. Looking at Q1 same-store sales, stores in the top 20% those that are essentially or close to fully staffed on average, outperformed stores in the bottom 20%, those that are facing the most significant labor shortages by 12 percentage points. When we look across the US business, we continue to believe that consumer demand for Domino's remains very strong across the country. It is our current capacity to serve that strong demand, particularly for delivery customers that has continued to be our greatest near-term challenge. Now, I'll share a few thoughts specifically about the carryout and delivery businesses. The carryout business was very strong in Q1 with US carryout same-store sales 11.3% positive compared to Q1 2021, driven by both ticket and order growth. On a three-year basis, our carryout same-store sales were up over 24% versus Q1 2019. As of January 31, our $7.99 national carryout offer is now available online only. This supports a balanced approach of bringing value and a great experience to our customers online and is aligned with our goals of growing the digital carryout business and enhancing the profitability of our carryout orders. Online carryout orders generate a higher ticket and require a lower cost to serve than phone carryout orders, in addition to driving digital engagement and the opportunity to add members to our loyalty program. Thus far, we are very pleased with the initial results in our carryout business with positive impacts on order counts, ticket, store-level margins and in particular digital penetration. During the quarter, we began a strategic campaign to support a transition to online carryout for our customers by offering a $3 tip for each online carryout order. This approach also aims to drive repeat purchases as the tip comes in the form of a coupon that the customer can use on their next order, which must be used the week after the initial purchase. Tying back to my comments earlier around the staffing quintiles, it's useful to note that we saw almost no difference in carryout same-store sales performance across the quintiles in the first quarter. We believe the relatively low labor intensity associated with carryout has largely insulated this business from the staffing challenges we see impacting delivery. Turning now to the delivery business. Q1 delivery same-store sales declined by 10.7% relative to Q1, 2021, driven by order count declines offset in part by higher ticket. Looking at the business on a three-year stack, Q1 delivery same-store sales remained almost 6% above Q1 2019 levels. When we look at the same quintiles relative to the delivery business, we see the stark impact that staffing had during the first quarter. We saw a 17 percentage point gap in delivery same-store sales between stores in the top 20% and those in the bottom 20%. It is this disparity in delivery performance that is driving the overall contrast in performance across our US business. The gap between our top performers and our bottom performers has widened over the past year and we are keenly focused on lifting up the underperforming stores. On March 14, we evolved our long-running $5.99 mix-and-match offer for the first time in over 12 years. Our delivery mix-and-match offer is now $6.99 each for any two or more items on the mix-and-match menu. We believe that $6.99 is still a great relative value for our delivery customers, offering variety, great taste and a competitive price, while also reflecting the increased costs inherent in a delivery order. This approach can allow our franchisees to achieve balanced growth across ticket and orders, which is key to driving profitable long-term growth for their businesses. We are also bringing more value to our customers by adding three great products to the mix-and-match menu: 32-piece Parmesan bread bites, 6-piece wings and 3-piece chocolate lava cakes. Customers can now have even more variety – with more than a dozen items to choose from as they assemble their meals. We made these changes in part to manage through the significant cost inflation facing the business. And we did it using the same balanced approach, we have successfully executed over the last decade by offering great value to our customers while giving our franchisees the tools to profitably grow their businesses over the long term. As we just implemented these changes to mix-and-match on March 14, the new offers were only in place for two weeks of the first quarter. It is still very early. But so far results are fairly consistent with our expectations. Russell will be able to share more with you on the Q2 call in July. I'll turn now to our international business. It was another strong quarter of performance for our international business. I'm pleased to report that this was our 113th consecutive quarter of positive same-store sales growth in our international business. We are also encouraged that growth during the quarter was driven by a mix of ticket and order count increases as franchisees continue to provide great value to their customers globally. A clear highlight for the quarter was the outstanding store growth momentum that continued to build across our international business. When combined with our US store growth our trailing four quarter global net store growth of 7% aligns squarely within our two to three year outlook range of 6% to 8%. 40 international markets opened at least one new store during the first quarter, demonstrating the broad and balanced growth across the business. I'll now highlight a few international markets of note. India once again led our international markets in store growth and opened their 1500th store during the quarter. This was accompanied by a continued same-store sales growth. We also continue to see strong sales and store growth from China. And I'd like to congratulate Alamar Foods our master franchisee across 11 markets in the Middle East and North Africa on the opening of their 500th store during the first quarter. Other markets of note with strong growth in the quarter included Mexico, Spain, Turkey, Taiwan, Iceland and Guatemala. Our master franchisees across the globe continue to show resilience and a strong belief in the future of the Domino's brand in their markets. The combination of our global brand and systems with their local expertise gives me great confidence in both the long- and short-term growth prospects in international. And with nearly 96% of the global population and 75% of the world's GDP residing outside the US we are just getting started. I'll turn it over now to Sandeep, who will take you through the details of the quarter. And after that Russell will share his views on the road ahead and the actions we and our franchisees are taking to drive growth in the US business. Sandeep, over to you.
Sandeep Reddy: Thank you, Rich and good morning to everyone on the call. I'm thrilled to now be a part of the Domino's team. Having had the privilege of working with many great brands over my career, this opportunity to work with such an iconic global brand with enormous growth potential is very exciting to me. I look forward to partnering with Russell and the leadership team, as we craft the road map to continued value creation. To start with, I would like to comment on one of my initial observations in the past few weeks, as I start to learn the business. Given the softness in comparable sales trends in the U.S. and the resulting contraction of operating income as a percentage of sales in the first quarter, we expect margins for the rest of 2022 to be pressured. However, we are already actively working on several initiatives, to drive improved profitability. These include, number one, exploring further optimization of our consumer pricing architecture in the United States. Specifically, this covers our many levers of pricing which includes our standard menu pricing, national offers, local offers and delivery fees to enable both our company-owned and franchisee stores to better cover the cost increases we are facing in both the food basket and labor market. Number two, efficiencies in our cost structure as we seek to ensure that revenues consistently grow faster than expenses. Number three, actions to accelerate our capacity to service the demand we see and generate incremental sales growth. Once implemented, we expect the initiatives I just covered to enable annual operating income margins to recover to pre-pandemic levels post 2022, I will now review our financial results for the quarter in more detail. Global retail sales increased 0.3% in Q1 2022 as compared to Q1 2021. When excluding the negative impact of foreign currency, global retail sales grew 3.6% due to sustained positive momentum in our international business, lapping 14% growth in Q1 2021. As we've discussed in the past, we believe it remains instructive to look at the cumulative stack of sales across the business, anchored back to 2019, as a pre-COVID baseline. And we'll continue to do so for as long as we believe it is useful in understanding our business performance. Looking at the three-year stack our Q1 2022 global retail sales, excluding foreign currency impact grew 23.5% versus 2019. Breaking down total global retail sales growth, international retail sales excluding the negative impact of foreign currency grew 8.4%, rolling over a prior year increase of 12.8% and are up 28% on a three-year stack basis relative to 2019. U.S. retail sales declined 1.4%, rolling over a prior year increase of 15.3% and are up 18.8% on a three-year stack basis relative to 2019. Turning to comps, during Q1 same-store sales for our international business grew 1.2%, rolling over a prior increase of 11.8% and were up 14.5% on a three-year stack basis relative to 2019. The international comp in the quarter was driven by both ticket and order count growth. Same-store sales for our U.S. business declined 3.6%, rolling over a prior year increase of 13.4% and were up 11.4% on a three-year stack basis relative to 2019. Breaking down the U.S. comp our franchise business was down 3.2% in the quarter, while our company-owned stores were down 10.5%. We believe the difference in the top line performance in our company-owned stores as compared to our franchise stores, continues to be driven by more substantial operational challenges combined with more conservative price increases as compared to our franchise stores. The decline in US same-store sales in Q1 was driven by a decline in order counts, which were pressured by the very challenging staffing environment which had certain operational impacts such as shortened store hours and customer service challenges in many stores, both company-owned and franchised. The decline in order counts was partially offset by ticket growth, resulting from higher menu prices, as well as more items per transaction and increases to our average delivery fee. Shifting to unit count. We and our franchisees added 37 net stores in the United States during Q1, consisting of 40 store openings and three closures. We've also completed the purchase of 23 franchise stores in the Detroit DMA during Q1, bringing our total company-owned store count to 400 as of the end of the quarter. The purchase of these stores allowed us to consolidate the market along with higher-performing franchisees and should unlock growth in the Detroit DMA. We believe there will be some markets where corporate stores can unlock growth and others where franchisees can optimize the market, as was the case with the sale of our New York corporate stores to franchise partners in 2019. We believe leveraging our corporate portfolio to unlock growth will be an important strategic use or source of capital in the United States going forward. Our international business added 176 net stores in Q1, comprised of 217 store openings and 41 closures. More than half of the closures were in Brazil, where our master franchisee remains highly committed to the Domino's brand, while making strategic decisions to get out of some underperforming locations to focus resources and grow stores in other areas. This brought our net global store openings in the quarter to 213. Turning to revenues and operating income. Total revenues for the first quarter increased approximately $27.5 million or 2.8% from the prior year quarter, driven by higher supply chain revenues, resulting from higher market basket pricing to stores. This increase was partially offset by declines in our company-owned stores and US franchise revenues, due to the decline in retail sales I mentioned earlier. Changes in foreign currency exchange rates negatively impacted international royalty revenues by $4.3 million during Q1. Our consolidated operating income as a percentage of revenues decreased by 270 basis points to 16.3% in Q1 from the prior year quarter, primarily driven by food basket and labor increases in excess of pricing increases, as well as G&A deleverage due to the decline in same-store sales in our US business. Our diluted EPS in Q1 was $2.50 versus $3 in the prior quarter. Breaking down that $0.50 decrease in our diluted EPS, our operating results negatively impacted us by $0.36. Changes in foreign currency exchange rates negatively impacted us by $0.08. The gain on our investment in Dash in Q1 of last year negatively impacted us by $0.05. Our higher effective tax rate negatively impacted us by $0.04. Higher net interest expense negatively impacted us by $0.15. And a lower diluted share count, driven by share repurchases over the trailing 12 months, benefited us by $0.18. Although, we faced operating headwinds in Q1, we continue to generate sizable free cash flow. During Q1, we generated net cash provided by operating activities of approximately $79 million. After deducting for capital expenditures of approximately $12 million, which included investments in our technology initiatives such as our next-generation point-of-sale system and investments in our supply chain centers, we generated free cash flow of approximately $66 million. We invested $6.8 million in purchases of franchise operations in our Detroit DMA. We repurchased and retired approximately 101,000 shares for $47.7 million or an average price of $473 per share. As of the end of Q1, we had approximately $656 million remaining under our current Board authorization for share repurchases. And subsequent to the end of the first quarter we also returned $40 million to our shareholders in the form of a $1.10 per share quarterly dividend payment. In addition, we would like to update the guidance we provided in March for 2022. Based on the continuously evolving inflationary environment, we now expect the increase in the store food basket within our US system to range from 10% to 12% as compared to 2021 levels. Changes in foreign currency exchange rates are now expected to have a negative impact of $12 million to $16 million compared to 2021. We anticipate that we will continue to see fluctuations in commodity prices including wheat and fuel costs and foreign currency exchange rates resulting from geopolitical risk and the impact on the overall macroeconomic environment. G&A is now expected to range from $420 million to $428 million as we cancel or delay some of the investments originally planned for 2022 and prioritize those projects we believe will be more near-term drivers of growth. CapEx is not expected to change from the $120 million projection we provided in March. Finally, while our global retail sales growth excluding the impact of foreign currency in 2022 will likely drop below the low end of our 6% to 10%, two year to three year outlook, we are confident that the long-term growth algorithm is still very much intact and we expect to recover back to that range starting in 2023. Our practice has been to not comment on short-term sales trends in the business and we do not plan to make a habit of doing so. However, based on the very unusual and volatile operating environment, we and others are experiencing, we are making an exception in this case. On future investor calls, plan on not sticking with our two year to three year outlook as the best indicator of our expected global retail sales trends. Thank you all for joining the call today. And now I will turn it over to Russell. 
Russell Weiner: Thank you, Sandeep and good morning, everybody. I want to start-off by thanking our franchisees and their teams for continuing to work incredibly hard to serve their communities during the pandemic. Domino's franchisees are the best operators in the business delivering around one out of every three pizzas in this country every day. COVID and Omicron in particular required that they balance this volume with customer service and team member workload. And we were faced with the same situation in many of our corporate stores. While none of us were satisfied with US sales in Q1, I am confident in our ability to get back to the growth levels we and our franchisees expect. As indicated by our carryout performance and the strength of our business in stores that were less constrained by labor shortages, we believe the demand for Domino's remains strong. Our focus now is on addressing the capacity constraints that have impacted our ability to fulfill this demand. Those constraints have led to demand shaping activity across the US business things like reducing store hours, not answering phones and restricting online orders. These bottlenecks are largely in our and our franchisees' control. And as we distance ourselves from the peak of Omicron's impact, we're addressing them together with our franchisees. First, we'll be returning to our core standard operating hours. Knowing the last thing our franchisees want is to be closed, we're working with them closely to return to standard hours. This will be monitored along with online ordering uptime. Second, we have worked with third-party call center providers to facilitate and add capacity that will allow our stores to utilize call centers to take phone orders when necessary. This will allow stores to focus on production and delivery when they're short staffed during peak hours. By the middle of May, we believe between 2,500 and 3,000 stores will be leveraging call centers in some capacity. That number can grow depending on our needs. Our corporate stores will be testing phone center options as part of this process, so we can understand the impact on operations, on store team members, customer service and the P&L. Third boost weeks will return this summer and we expect they will continue moving forward in the cadence similar to our pre-COVID practices. Boost weeks are key to building our business. They drive customer acquisition and grow our loyalty program. Now, while these actions will begin to take effect in Q2, we know from the quintile analysis that stores need to solve for different levels of staffing challenges. So, it will take some time for our entire US system to get back to pre-Omicron levels of staffing. Additionally we're facing two-year same-store sales overlaps of 19.6% in Q2. As such we expect Q2 to be another quarter where same-store sales will continue to be pressured. Next, I'd like to talk about our corporate stores. We are disappointed in the results of that business. As we've said in prior calls, our current mix of corporate stores, they are concentrated in areas more impacted by staffing shortages. That said when adjusting for uncontrollables these stores have underperformed similar stores owned by our franchisees. This has not been the case historically and the gap is being addressed by our leaders of that business. They are already several weeks into operations recovery plan with 30, 60, and 90-day milestones. While corporate stores represent only 2% of our footprint around the world, they remain a critical strategic tool to develop talent and to test and refine innovation and in some instances, to accelerate the growth of an under-penetrated market. We must restore their leadership from a performance perspective. Next, I wanted to talk through staffing and some of our plans to address it as a headwind on our performance this year. First, we're seeing an improvement in delivery service in many Domino's stores. By the end of Q1, delivery service has improved versus the same time last year in 42% of stores. This number improved sequentially in each period during the first quarter. Second, while it may take some time to get to full staffing levels, the majority of our franchisees support the boost week and a return to more aggressive promotions that drive customer acquisition. I believe this is an indication of their confidence that staffing and service will continue to improve. Third, with Omicron interruptions largely behind us we were able to roll out a new service assessment program at the end of the quarter. The service assessment provides each store with its own specific service improvement objectives based on individual results. The service assessment also comes with tools to help stores identify and address where they have opportunities. We really expect this new program to help our franchisees as the year progresses. Finally, as Ritch mentioned during our last call, we are continuing our deep dive on driver labor. A lot in the world of delivery has changed because of the pandemic. And we're thoroughly analyzing what all these shifts mean for our business. We're still doing the work of this important initiative and believe many of the solutions for how we can evolve and improve our driver staffing already exist within our system as is evidenced by the performance of our top quintile stores. That said we're coming at this analysis with an open mind and are exploring all avenues at our disposal. I am excited for what's ahead at Domino's. And I'm honored at the opportunity to lead the continued evolution of this great brand. Together with Sandeep and the rest of our leadership team, we will leverage the learnings from these headwinds we're facing today and we'll use them to become even better. I look forward to talking with you about this in future calls. And with that said I'll send it back to Ritch for some final words. 
Ritch Allison: Thanks Russell. Looking forward I have a great deal of confidence in you our outstanding leadership team and our incredible team members and franchisees here in the US and all around the world. I'm optimistic about the future of this brand with many years of growth runway ahead. Today is my last earnings call and I'll close my remarks this morning with a heartfelt thank you to our franchisees and team members across the globe. Over the last 11 years, you have inspired me every day with your passion, your commitment and your innovative spirit. I'm truly grateful, for the partnership and the friendship that you have extended to me. Serving you as the CEO of this great brand has been the highlight of my professional career. And to our investors and analysts it has been a pleasure to work with you over these years. Thank you again for joining us on the call today. And we will now be happy to take your questions. 
Operator: [Operator Instructions] Our first question comes from Brian Bittner with Oppenheimer & Company. Your line is open.
Brian Bittner: Thanks. Good morning and Ritch well wishes into the future. As we think about the US business and the pressure that you guys are experiencing from staffing stimulus rollover et cetera, can you help us understand what your share trends look like year-to-date so we can better kind of understand how much of this is idiosyncratic to Domino's versus industry-wide headwinds? And just Russell as you come into this role, is there any new strategic initiatives we could see you pivot towards to really help get the system more staff more quickly perhaps even gaining some operational health maybe through new partnerships? Thanks.
Russell Weiner: Hi, Brian. I'll answer your first question. On the share trends on those we rely on NPD information. And there's been so many switches from sit-down to -- when that sit-down was closed people would get delivery. Now sit-down was open again, and so there's a lot of moving parts kind of up and down. When we look at kind of the total Delco delivery carryout share performance for us, we've held our own and actually moved up significantly on the carryout side.  I suspect a lot of people have the same question you did on the second -- on your second question so I'm going to take a little bit more time answering that if that's okay. And I wanted to start with a little perspective. And I just got back from over the last month a listening tour where I visited with 155 of our US franchisees over the last month. And what I can tell you that I heard was the only person more disappointed than the customer who can't order Domino's is the franchisee who owns that store and can't serve that customer. We take so much pride our franchisees take so much pride. When I started Domino's in 2008 and I -- there's a motto that's thrown around and I hold it close to my heart because it describes our franchisees, which is we are the last to close and the first to open. And so the fact and Ritch talked to this in his comments earlier the fact that we were closed almost six days, is not something that our franchisees or us that's not part of our DNA. And Omicron is behind us now. And I can tell you through these visits they are ready to get after it. And so the question really is, with that what are we going to do to if the energy is there kind of what are we going to do to address that capacity? And I'll give you some -- maybe some quantitative information and then a couple of facts along the way. First, what we've seen every period during Q1, is an improvement in our delivery service. And in fact, we ended the quarter with 2,700 stores a little bit more than that with delivery service better this year than it was same time last year. And like I said it continued to improve every period. We're going to return to our store hours the core store hours. There were times at which a store had to decide hey do I let my staff go home it's been a long day or not. And we are proud that they made the right decisions in that case. But again we're in a different situation now. And our franchisees and us feel like we can make that return to core store hours in all of our stores. Next we need to free up capacity. Obviously, bringing in new team members is one thing. But if phone calls are one of the things that maybe gets second fiddle if a store is busy now moving and getting capacity for 3,000-plus doors and the number can increase to take those phone orders that's going to take work out of the store where they can focus on making the pizza and delivering the pizza. And lastly, we haven't done boost weeks in a couple of years. And boost weeks really is what drives new customers into Domino's. And that's where the magic happens with our loyalty program and all our digital and analytical capability. And so when you think about all I went through hopefully, you understand why I'm bullish on this. I'm bullish, but I think we also have to be realistic. And that's why Rich talked about the last call, I talked about this call, we are undergoing a full assessment of the driver and delivery landscape both today and into the future. We do think a lot of the answers for some of the headwinds that you mentioned before and how we're going to overcome them hey we're seeing them in our top quintile stores, right? So a lot of stores are actually doing that. And our goal my job is to help everyone move to that top quintile. But our job as well is to make sure that anyone who wants a Domino's Pizza gets a Domino's Pizza. And so while we continue to look internally for best practices, I will tell you nothing is off the table, when we look at – when we think about long term, and getting folks who want Domino's their delivery order.
Brian Bittner: Thank you.
Operator: Our next question comes from David Palmer with Evercore ISI. Your line is open.
David Palmer: Thank you. You mentioned the quintiles. How is staffing at the bottom one or two quintiles versus pre-COVID? And perhaps you can talk about, how that's changed in recent months and even recent weeks and to the degree that that's giving you confidence to this labor capacity getting better perhaps midyear-ish or so? And then maybe there's something tied into this call center as a solution. But I do want to get a sense of your confidence on getting that bottom up to pre-COVID levels? Thanks.
Russell Weiner: Sure, David. I think a couple of things. One is it's not just my confidence. We and our franchisees are aligned on bringing back boost weeks this summer. And so that means the entire Domino's system is confident we'll be where we need to be. We're not going to be perfect, but we're going to try. And that's been our history, right? Last to close first to open. How I'll address the quintile piece is maybe – a better way to think about it maybe is what have we learned that the top quintiles do that we can help inform the bottom quintiles to move up? And what's really interesting to me is only one of those learning's to me is something that's out of your control. So in general, if you're an urban store, it's a little bit harder to staff than, if you're a suburban store. But as I take you through some of these other points, I think what you'll realize is these are things that are well within folks control. And we just help – need to help lead and inform our franchisees. So I'll take you through with some of them differences again top quintile versus bottom quintile. They're going to have more drivers on the road, right? Their drivers are going to spend more time on the road less time in stores doing things other than driving. They process their new hires more quickly, right? They are in markets that are more fortressed. We've been talking about fortressing forever and how important fortressing is from a delivery standpoint but also how incremental it is from a carryout standpoint. I think the results here show that us and our franchisees, we're really happy we started fortressing because that's a big difference in the quintile analysis. Higher a list is another one. The last one and this is really important one of the biggest drivers of quintile performance is the strength and the tenure of the general manager. And so when I think about the things that are within our control all but one of those things are and we can get after that.
David Palmer: Thank you.
Operator: Our next question comes from Peter Saleh with BTIG. Your line is open.
Peter Saleh: Great. Thank you. I just wanted to come back to the conversation around delivery drivers and what you guys plan to do I guess to attract more delivery drivers and keep the ones that you have. I think last quarter you talked about more scheduling flexibility and using technology to make sure you keep the drivers in their cars, I guess, more often. So just give us an update on, where you are with some of those initiatives and if you feel like that's going to be enough. Or do you think you have to really step up pay or push the franchisees to step up pay to really I guess retain the drivers that you have and maybe go out and expand and find more drivers?
Russell Weiner: Thanks Peter. From a payer perspective -- obviously, I can talk to our corporate stores. Over the last three years, we spent -- we've increased wages well over $30 million. So I don't think, it's pay. I think it's a real holistic view. As I said earlier that general manager is a big piece of it. And so you want to make sure the store around them is as stable as possible. I think the way we look at hiring is really a chain from start to finish. And so, if you think about what we did this year that we really haven't done in the past to attract new people is we used our television advertising. We had not done that in the past. And so, we have a story out there with Lolly, a 27-year-old, franchisee who owns two stores started as a delivery driver, really as an aspirational goal. If you want to be a general manager at Domino's and an owner at Domino's it all starts as being a driver. So, getting awareness out there we're a marketing company. And marketing staffing is something we hadn't done before. So that brings in more people. Now when they come in then what happens? Well, you have to process their applications more quickly. And we rolled out a new ATS system, which helps applicants get through in less than five minutes. And so that piece is better. Then once they start in the store, you need to do what you can to make the job as easy as possible. There's a lot of pressure on those jobs. And so a lot of the technology that we've introduced addresses that. We talked last time about some operational best practices taking box holding way for example, that takes 30 to 40 hours out of the store. And so when you think about that kind of holistic start apply working in a store, what we've tried to do is change our approach holistically that to that. What I can tell you though is again, we are doing a full assessment of this area and we will have enough people to deliver Domino's Pizza.
Ritch Allison: And Peter, just one thing I would add to Russell's comments. We're absolutely also looking at how we schedule those drivers once we have them on the payroll. And certainly there are a lot of folks out there now looking for more flexibility perhaps shorter shifts, maybe fewer hours over the course of the full week. So, we're taking a look at that scheduling component as well to make sure that the way we ask our team members to show up aligns in some cases better with their expectations of what they want to do.
Peter Saleh: Thank you.
Operator: Our next question comes from David Tarantino with Baird. Your line is open.
David Tarantino: Hi. Good morning. I just had one clarification question about the US comps and perhaps it's a bit nuanced but, I know you mentioned a lot of volatility around Omicron. And I was wondering if you could comment on whether you've seen some stability in the business post Omicron. Meaning, if you look at growth relative to pre-COVID levels in February up through March did it stay relatively stable in March decelerate because of the comparison or are you seeing a further deceleration? I guess that's one clarification. And then, I guess my real question is really about the operational challenges and the impact that might be happening on consumer feedback or consumer perceptions towards Domino's more generally. And just wondering if you can comment on what kind of consumer feedback you're getting from some of the issues you're having on the delivery side. Thanks.
Sandeep Reddy: David, this is Sandeep. I'll take the first part of the question and then I'll pass it over to Russell for the second piece. But I think when you talk about the cadence of US comps, Ritch talked about it in the opening remarks. And it was a very tough January with Omicron. Feb got a little bit better. But then we actually got -- it went backwards a little bit in March. So we had a bit of a mixed bag as we went through the quarter. But I think the challenge that we actually saw was across the quarter quite significant. That's why we ended up that down 3.6%. And I think Russell talked about this in the prepared remarks as well. We are now up against a very tough comparison on a two-year stack 19.6% in the second quarter. So I think that's something to keep in mind given how we actually finished up in the first quarter that we're up against tough compares. So, that's really what's been happening from a cadence standpoint. But pivoting back to what Russell talked about in the opening remarks we're doing a whole bunch of things to address this and accelerate demand. We're not going to basically just accept where things are at right now. And everything that Russell talked about in terms of getting back to normal operating hours using the call center to actually bolster our volume and be able to create more capacity to take it, this is all going to be critical. And it's amazing that the boost weeks haven't been done for so long with the pandemic, but that should be a significant accelerator as well. So, personally when I kind of take a look at comps in the first quarter, to me it's an aberration. When I look at the business performance over multiple years I've gone back and looked at the history on a three-year stack basis we're up 11%, despite all these problems with labor that we're dealing with. And I'm really bullish about our ability to bounce back, once we actually start implementing the initiatives that Russell was talking about as we move through the year. 
Russell Weiner: Great. Thanks Sandeep. David I'll -- on what are consumers saying question, I'll reflect back. You may know I started at Domino's in 2008. And at 2008, we had a customer problem, which affected demand, which is people didn't like the taste of our pizza. We actually had plenty of capacity back then. In fact we were closing stores and we were closing supply chain. Demand from a customer perspective is hard to create and we did it here at Domino's. Where we are now the customer issue we actually have plenty of demand. We just have that capacity problem. And so I say that just to reflect that this is a company and a group of franchisees that overcame what I think is a much more difficult issue. And what the headwinds we're up against right now is we just got to serve the demand that's coming our way. Are consumer -- are our customers happy about it? No. Do we have programs that can address them? Sure. We have an extreme delivery program. If you get your pizza late, you're going to have free pizza next time. We've got the loyalty program. We've got all those things. I also think our customers understand -- they're not happy, but they understand what our team members are up against. If you remember the amazing thing about the Domino's system is when COVID first was hitting its peak and everybody was closed, our folks were open and our customers don't forget that. So anyway maybe a long way of answering your question, but I think we've overcome more difficult customer issues before. And what they'll see soon is we're going to be back to being the same Domino's as far as delivery perspective. 
David Tarantino: Thank you.
Operator: Our next question comes from Brian Mullan with Deutsche Bank. Your line is open.
Brian Mullan: Hey, thank you. Just a question on domestic unit growth. Last call you had given a heads up that this year could be impacted by some COVID-related delays. It sounds like from your prepared remarks today that maybe the driver issues and general inflation could have an impact as well. But at the same time you expressed confidence in the unit economics and the 8,000 long-term targets. Can you just help us marry those two things? Can all these issues get sorted out this year and next year's return to that 4% to 5% growth range, or could it perhaps take a bit longer than that in your minds?
Sandeep Reddy : Hi, Brian. This is Sandeep. And I think if we look back at what we've done on unit growth in the past quarter we've been really thrilled. And frankly, if you go back to the trailing 12 months as well it's been a very impressive growth rate. And we've -- on a global basis we've actually gotten to a growth rate of about 7%, which is very strong. And it's driven by strength both in the international store growth as well as the domestic store growth. What we have said is, there are certain challenges that we faced in the last few quarters, especially because of the supply chain delays and permitting delays and the like that have actually caused our rate of unit growth to be less than we'd like it to be in the past few quarters. And those issues probably are likely to persist for the next few quarters, as Ritch mentioned in the prepared remarks. However, when I look at the landscape of where we are in the U.S. business, our unit economics for the franchisees are industry-leading. It's amazing how much value they generate. $174,000 in EBITDA for the franchisees enables them to have a fantastic cash-on-cash return and an opportunity to continue expanding their footprint. And so we're at 6,600 stores give or take across the system. And the 8,000 plus objective is very much within reach. And with the clip that we've been through this last trailing 12 months it's not that far away either. So it's super exciting. I'm thrilled about the opportunity that we have because it's such a profitable business for our franchisees. And we're working all the time to make sure that they continue to be profitable. And I think that's why we're very comfortable with the unit growth projections that we provided of 6% to 8%. We're committed to that. We expect to see that this year and going forward. 
Russell Weiner: Yes. Sandeep, I'll just add a little bit to your comments. But you're right I mean 7% right that's right smacking between our 6% to 8% guidance. I want to do first a shadow on the international side. We're experiencing the last 12 months our highest organic growth from a store perspective internationally. And when I think about the US business, I really like to -- people say half empty half full, what is your glass? And my glass on US development half full and we're going to fill it up more. And why I say half full is when you look at the pizza category in QSR there is no one trailing 12 months two years three years nobody has opened up as many pizza stores in the United States as has Domino's franchisee. So that is an absolutely huge accomplishment. And that is why I think the glass starts half full. As Sandeep said there are a bunch of things that they're dealing with now both on the labor side and on the supply of things that you need to open up a store. So it makes some time -- may take some time to get beyond what you've been seeing. But again I want to thank our franchisees for doing what nobody else is doing. They have high expectations as do we and that 8,000 number is within reach. 
Operator: Our next question comes from John Glass with Morgan Stanley. Your line is open.
John Glass: Speaking of glasses, Russell, you didn't mention, sort of, the consumer reaction to the price increase in March to $6.99. But the business also got softer. So can you just talk about has that been accepted? Is that not a factor as you look at your sales? And Sandeep I think you talked about further pricing actions. And I think one of the things on the list was further exploring price points to national offers. And I sort of thought this was a one-time raise the price because there was so much equity in that you didn't want to adjust it further. Are you now reconsidering that and thinking about further increases in the national price point offers? 
Russell Weiner: So John, you totally threw me off my game because I'm just sitting here trying to think of a retort to your glass comment, so well done.
John Glass: Thank you.
Russell Weiner: On the two changes that we made from a promotion standpoint the $5.99 one to $6.99 at least on the delivery side remember we held the carryout side that was middle of March. And so we've got some time before we're going to see what's happened there. I can say on the $7.99 remember there were a couple of things that we did there. We did $7.99 to move it online because moving our carryout customer online is really important to become part of the loyalty program. We can do all our data magic with them. At the same time we also did the carryout tips promotion. And the only way you can get the carryout tip is to also go online. And so we've seen a five percentage point increase in our online carryout business. And so that strategy is absolutely working. I'll start answering the Sandeep portion. I'll let you finish it. But John we've been doing -- when it comes to pricing, we've been doing pricing analysis since we launched $5.99 here at Domino's. It's not like we wrote it down on a piece of paper and decided to stick with it. And that architecture is not set in stone. There's actually math and there are numbers behind all of it. And so essentially what Sandeep is saying is true. But we look at pricing every day. I looked at pricing before I came down here. It doesn't mean we need to change pricing. What we do is we optimize our pricing to make sure that our customer has the best value relative to the competition and that that drives the most bottom-line for our franchisees. And so we can understand through our testing demand when we look at different brands. And we know what the input costs are from a labor standpoint from a food standpoint. And if things need to change to protect the consumer value proposition or to protect our franchisees' profitability, we will do that. And that I think is what Sandeep was referring to.
Sandeep Reddy: Yes that's exactly right, Russell. I think Russell hit it exactly because it's – in the end it's a delicate balance between the value our consumers expect and then our franchisee partners who have to actually make sure that they generate the profitability to keep their growth going and our business continuing to grow the way it has. So I think what we have to do is be cognizant of the fact that today we're dealing with a highly inflationary economy. And so the food basket is up double-digits. Labor costs have actually gone up significantly. And in this environment I think we just want to make sure that while we keep in mind that consumer value proposition and we are making sure that the demand continues to flow we still find a way to ensure the profitability of the franchisees is where it needs to be to drive that long-term growth for them and for us. And that's as simple as it is.
Operator: And our last question comes from Jared Garber with Goldman Sachs. Your line is open.
Jared Garber: Hi. Thanks for taking the question. Wanted to get a sense – I know you talked about this driver economic study and maybe it's early days in there but just wanted to get a sense of if you have any sort of early reads on maybe what specifically is keeping folks from sort of signing up to work at Domino's or to drive for Domino's. Fully understand sort of some of the Omicron-related headwinds in January. But I think post that we've heard from several restaurant industry peers that would suggest staffing levels that are back at or above pre-COVID levels. But maybe Domino's is seeing something different. So I just wanted to get a sense of what you're seeing sort of in early days of that study and how that's starting to inform some of your decision-making going forward. Thanks.
Russell Weiner: Sure. When I – when we talk about staffing, I really think you need to think that we essentially we have two businesses at Domino's. We've got a – the carryout piece of business and the delivery business. The carryout business has not really been constrained because there are no delivery. The customer as you know we tip them. And the customer is their own delivery driver. And that business over the last three years is up 24%. What we're really talking about here is I think stuff that's a little bit more specific to Domino's as a restaurant. But I want to be clear first, nobody in this country delivers more pizza than Domino's Pizza. So we have a lot of fantastic drivers there. I think the question is can we deliver more than more? And that's part of what this study is and this is part of what we're working with our franchisees on. Like I said I do think we have a lot of the answers internally. But we're going to leave nothing on the table when we look at options once the study is done.
Jared Garber: Thanks. And I guess maybe elephant in the room but as part of that assessment is third-party aggregators partnership being considered? 
Russell Weiner: Nothing is off the table. But I've got a lot of faith in the Domino's system. We've got quintiles that are doing it. But like I said our job is to fulfill the demand that customers have for us. Luckily we don't have a demand problem right now but nothing is off the table.
Jared Garber: Thank you.
Operator: This concludes the question-and-answer session. Please proceed with closing remarks.
Russell Weiner: Thanks, everybody for joining the call this morning. Sandeep and I look forward to speaking with you in July to discuss our second quarter 2022 results. Have a great day. 
Operator: This concludes the program. You may now disconnect.